Operator: Ladies and gentlemen thank you for your patience in holding. We now have our speakers in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of our speakers’ presentations we will open the floor for questions. Instructions will be given at that time on the procedure to follow if you would like to ask a question. It is now my pleasure to turn this mornings conference over to Kevin Reilly. You may begin sir.
Kevin P. Reilly Jr.: Thank you. I’d like to welcome all of our Analyst friends and guests on our Q1 call. I had like to start out as is our custom with some sort of general comments about how we see the rest of the year playing out and then turn it over to Keith for some of the Q1 details and then to Sean for some operational information. In general, the way we see the rest of the year shaping up is it looks like we’re going to bump along the bottom for a while. Don’t know exactly when we are going to come out, but we don’t see a real sharp V here. And on the cost control side, I expect that we will perform on the positive side there and I want to thank management and really all of our group for their meticulous attention to the cost saving side of our business. As we manage through the rest of the year in this trough, one important thing we need to do is protect our franchise and that is very simple. We just need to keep the lights burning and the copy fresh, and that’s no easy feat because we are operating as on the operation side about as lean as I’ve ever seen it in the last 30 years. My expectation when we do come out of this thing is that we will accelerate out probably faster than we have in the past and my reasons for that are two folds. One is digital and two is newspaper industry. I’m convinced that as the fundamentals of the newspaper industry continue to deteriorate which represents in many of our markets almost 60 to 65% of local ad spend that we are going to be the beneficiary of some of that and our focus going forward will heavily be on the local side of ad spend and if we take care of our automotive customers for the rest of this year I do think that we will come out of this thing much quicker than we have in the past. With that Keith, I’d like to turn the call over to you.
Keith A. Istre: Okay. I’m just going to briefly provide a little color on some of the metrics in the press release. I don’t really have anything else to add, but just a couple of highlights. As you saw in the sales side, our pro forma revenue was down 15% for the first quarter. That’s what we guided to. And that downward run rate was the same for all three months. There were no peaks and valleys, it was basically 15% across the board and that’s what we told investors on the last call last quarter that it would be fairly stable, no peaks and valleys like we had in the fourth quarter. For the second quarter, guidance was basically the same down 16, again expectations are for a run rate that is consistent for all three months of the quarter as it was in the first quarter. No real peaks and valleys. On the expense side, again the press release pretty much speaks for itself. The pro forma expenses before corporate overhead were down 12% or $20 million, corporate overhead was down 19% or $2 million. Combined basis represents a 12.5% decrease in consolidated expenses. Just to remind everybody, on the last call the guidance for pro forma consolidated expenses for ‘09 was a decrease of between 5 and 7% over ’08. ’08 pro forma consolidated expenses, operating in corporate overhead was a total of $700 million even. So with the first quarter behind us, we’ve gotten off to a good head start towards that goal. As you saw, free cash flow was $45 million for the quarter. That’s an increase of $24 million or 112%. That’s obviously due to all the cutbacks and CapEx operating expenses so forth and as we told you, all of this free cash flow is being used to reduce outstanding debt. Speaking of CapEx, that declined to $10 million in Q1 versus $50 million in Q1 ’08, 80% reduction. Just to restate our guidance for ‘09 for CapEx, it will be approximately $35 million for the entire year. Lastly, during the first quarter, we addressed the previously pending concerns relating to our capital structure, as we outlined in the press release, the credit markets eased up a bit and as we told you on the last call when we saw an opportunity to access those markets and seek an amendment from our bank group, we would do that. So that action now allows us or allows management to focus all of its attention on the operations of the core business and operate through this environment as we’ve done so many times in the past. Sean?
Sean E. Reilly: Thanks Keith. As Kevin mentioned, the whole Lamar team is doing a fantastic job on the expense side. Quite frankly exceeding my and many folks expectations. One question that investors may have is our operating expense run rate sustainable through 2009 and beyond? And certainly through 2009, it looks like our run rate is sustainable. When I look beyond 2009 there are some things that we probably can’t sustain some of the employee benefit cuts we made like matching our 401(k) and the like. And then also as business ticks up of course we have some variable expenses like percentage pay leases and sales commissions and so we’re looking forward to the day when we have to report that those are running a little higher. But the take-home message here is the team is doing a great job of getting more done with less, taking care of our customers and making sure that the copy is fresh and posted on time while at the same time meeting and exceeding our expense goals. Let me also speak to the CapEx and its sustainability. As Keith mentioned, we will come in at our below the $35 million level, and as I reflect on that certainly sustainable through ‘09 and I believe beyond because we have spent a lot of money in the last four or five years on the maintenance CapEx side fixing up boards that we purchased through the years. So that is likewise a sustainable run rate. Again it will be a high-grade conversation when we think about in the out years of 2011 and maybe beyond expanding our digital footprint which is about the only place where I would see us accelerating our CapEx as we come out of the downturn. Speaking of digital, as of today we’ve got 1111 units in the air, 562 of them are bulletins, 549 are posters. The digital business model continues to be a pleasant experience at Lamar. We are actually up year-over-year in total digital bookings and we are also up in national digital bookings. And of course that’s on a base of more units on the air. On the same board basis, as you would expect, there is a little more volatility and their same board performance is probably down in the low to mid-20 percentages. But overall we maintain a lot of confidence in the digital business model and think it will help lead the Company out of this current environment. Little bit of data on occupancy and rate for posters Q1 ‘09 52%, that compares to a Q1 ‘08 occupancy of 60%. For bulletins Q1 ‘09 68% occupancy compared to Q1 ‘08 74% occupancy. On rate, average poster rate of $430 Q1 ‘09 as compared to Q1 ‘08 of $435. That’s a decline of about 1%. As is our practice when we go through these things we try to hold the line on rate and suffer in occupancy our experience is occupancy comes back faster and certainly in posters we’re managing to that expectation. Bulletins have been a little more difficult on the rate side. Q1 ‘09 average rate on the bulletin $1106. That compares to a Q1 ‘08 number of $1170 or a 5% decrease in rate on our static bulletins. So we have some work to do on that front and anecdotally what I’m hearing from the field is that it is a tougher sell out there for our folks on the static bulletin side. There is a lot more supply, it also is a longer-term commitment and our customers are gravitating towards a shorter commitment both on posters and digital and ultimately bulletin renewals, so we are going to have to track that very carefully. On the national sales front, it’s been trying to say the least for the first half. National is actually down on a proportionate basis more than our local sales base, one thing we are hearing anecdotally is that planning for Q4 on the national front seems to be picking up. So, hopefully we’ll have better news as the year progresses. In terms of customers on the national front, the Telecom and wireless is still pretty strong. We’ve had some good buys on the beverage and fast food front, but of course that’s been more than offset by the struggles our automotive and real estate customers are experiencing. I’ll speak to that a little more later. At this point usually I give a report on the acquisition front. There’s nothing to report on the acquisition front. As many of you are aware, we’ve got a new deal with our senior lenders that has us on a fairly short leash. Doesn’t mean there wont be any. But it does mean they will be far fewer than what we usually report. Let me speak a little bit to the top 10 categories of business and give you a little color on how our customers are doing. Top 10 advertisers for Q1 ’09, number one McDonalds, number two Cracker Barrel, number three Verizon, number 4 AT&T, number five Auto Owners Insurance, number six State Farm and Holiday Inn Motel 6, then Metro PCS and U.S. Cellular. You can see a theme in there that obviously the wireless folks are spending well with us and that is reflective of the fact that the Q1 ‘08 customer lineup would read like this McDonalds Cracker Barrel, Chevy Holiday Inn, Verizon, State Farm, Cingular Dodge, Motel 6, and Hampton Inn. So you can see that Chevy and Dodge have fallen out of the top ten by way of customers. When I go to categories, restaurants at 11%, that compares to 10% last year at this time. Retailers 9%, hospitals 8%, service industry 7%, gaming 7%, automotive 6%. That’s 6% Q1 ‘09. That compares to 9% Q1 ‘07. So we can see where that’s trending. Hotel, Motel at 6%. Amusements and sports at 6%, two new entrants to the top 10, Telecom at 5%, and financial at 5%. It’s interesting at the local level, we’re seeing good activity from local and community banks so that’s a hopeful sign and of course real estate has fallen outside of our top 10 categories of business. So that’s it on the operations side. And we will open it up for Q&A.
Operator: (Operator Instructions). Our first question will come from Alexia Quadrani, JPMorgan.
Alexia Quadrani – JPMorgan: Hi, thank you. A couple of questions. First, if you can comment a bit on the rate of visibility that you have into the second quarter. And then specifically, I guess if you could give us some color on your conversations you’re having with advertisers, it looks like the rate of revenue decline is sort of beginning to stabilize given your guidance for Q2. Are advertisers maybe a bit more, I’d say less negative now than they were a few months ago? Any color on that would be great.
Kevin P. Reilly Jr.: On the tone of the economic climate out there, what we are hearing from the field is that activity seems to have picked up in terms of proposals. Advertisers are willing to take meetings with our account executives, people kind of getting over the shock and looking to the future I guess is the best way to describe it. It’s mixed regionally. I fully expect that as we recover, it’s going to be an uneven recovery through Lamar land and through the various regions of the United States. And there are some of our local markets where they are not as optimistic as I described that activity picking up and people really sort of thinking to what their plans are for the back half of the year. So, it’s uneven out there, and the anecdotal reports from the field of mix, but in general I think we can say with some confidence that the book of business is stabilized and we’re not seeing declines.
Alexia Quadrani – JPMorgan: And then you mentioned earlier when you talked about 2011 being possibly a point where you pick you have spending in digital again. I guess what sort of magic about that 2011 number? Is that when you’re assuming the revenue growth will resume? I guess any color on why you picked that year?
Keith A. Istre: Well there’s nothing magical about it. It could be that the world changes in the fourth quarter, but if you look at our capital structure and you look at the amount of digital we have in the field right now relative to the advertising climate, until we see a clear pickup we’re not going to add capacity in a marketplace that in many respects is a wash in capacity. So, nothing magical about 2011, but again if you look at the promises we’re making to our senior lenders and our creditors about what we’re going to do with the free cash flow, it sounds about right.
Alexia Quadrani – JPMorgan: Okay. Thank you.
Operator: Thank you. Our next question will come from Jason Helfstein, Oppenheimer.
Jason Helfstein – Oppenheimer & Company: Hi thanks. Few questions. So, first can you give us an update on the removal of under performing displays as well as renegotiations with land owners kind of how is that going? I know it’s kind of two separate projects. And then secondly, Keith I guess all you guys, so historically when there’s a lag right in outdoor when advertising recovers and in your prepared remarks you guys said you expect it to recover I guess quicker than the historical lag. Can you give us more color on why you see that? Is it your ability to sell short cycle against a weaker newspaper and broadcast industry? Is it a higher number of posters this recovery versus last recovery? Or is it a function of digital occupancy and the ability to sell that or is it all of the above? Thanks.
Keith A. Istre: Well, taking the second question first and sort of following on what Kevin spoke to in the opening. We do think digital is a difference maker in terms of how quickly we can come out of a downturn. It is a shorter cycle sale that requires no production and our gut tells us that it has a higher beta. I kind of alluded to the fact that it’sin this environment on a same board basis, trailing our other inventory in terms of year-over-year decline, but I expect the snap back will be as dramatic. So, I think digital has a higher beta. We also are seeing because we’ve gone to a new substrate in our poster project, which is also a shorter cycle sale. We are seeing some excitement for the quality of that substrate polyethylene versus paper and glue. So there’s reasons for optimism and as you alluded to, the secular trends are still in place. As other media wrestle with their audience, it [inures] to our benefits because our audience is stable if not growing. The lease and takedown programs have exceeded our expectations. We’re at a run rate of savings as we speak today that has met our goal that we previously announced of saving $10 million or $11 million annualized. And we still believe there’s low hanging fruit out there. So I think you’re going to continue to see both the financial benefits from reducing capacity particularly on the static bulletin side and the operational benefits of reducing capacity particularly on the static bulletin side. So we’re going to keep up the program and it’s been a pleasant surprise.
Jason Helfstein – Oppenheimer & Company: Thank you.
Operator: Thank you. Our next question will come from Benjamin Swinburne, Morgan Stanley
Benjamin Swinburne – Morgan Stanley: Thanks good morning. This is Ben Swinburne if I could ask a couple of questions. The first one on the auto side, I don’t know if you’ve gone through this analysis but I’m curious when you look at your footprint and look at the GM and probably reasonably looking at Chrysler and Ford dealerships as well, how much rationalization has to go on or will go on and how does that impact the auto category as you guys ramp out of this downturn? Because obviously it looks like the SAR number has reached somewhere close to a bottom. We may see car sales start to pick up, but obviously the dealer count has an impact on local advertising. So I would love your thoughts on that front and then somewhat related to your initials comments on the newspaper business and how you expect to take share coming out of this. I guess, if a newspaper executive was on the call they would probably say their declines are cyclical as well. Is there something that you’ve seen in terms of their pricing or effectiveness or maybe that newspapers have been closing out of your markets so there’s just capacity out of the system that gives you confidence that you’ve got sort of a share gain story that is better coming out of this new pattern in the last few years? Thank you.
Kevin Reilly: Let me do share gains Sean and you do the automotive dealer count. On the share gain situation we’ve been seeing it. We’re taking share from the newspaper. We’ve been taking share from the newspaper for the last three or four years and we can just point to the real estate agent category and automotive. Actually on the automotive side, it’s come out of middle market network affiliate and newspaper but we’ve been seeing business leak away from those two areas and come right to us. Our automotive category for years and years was about 4% and it was restricted to highly directional where the dealer would just put up a billboard saying turn right to Bowen Chevrolet. So when we saw that share shift taking place in our analog business that’s what encouraged us to get into the digital business because we saw where we couldn’t meet certain customer needs that wanted to advertise on Thursday, Friday, Saturday only. And our digital business took off from the get go. Our prices even after all this audience measurement business when we discount our audience and cost per thousand goes up we will be substantially cheaper than newspaper. So and remember we only represent best case in the local market 6% of ads spend. So I just expect that that business is going to come our way when the local customers start opening up their pocketbooks. Of course it’s going to go to search and other vehicles as well, but we do expect to get our share of the business.
Benjamin Swinburne – Morgan Stanley: Very helpful.
Sean Reilly: On the local auto side, that continues to be really sort of a difficult story for everyone in the country but where is it more difficult? It seems to be disproportionately hitting smaller communities and so what we’re seeing is let’s say there’s a Ford dealer in Greenville Mississippi and if they are single line and rely on the parent company for 100% of their floor financing it’s tough and they’re probably in trouble. Conversely, if you’re a multi brand dealer, both domestic and foreign in a little larger ADI let’s call it Jackson Mississippi down the road from Greenville. You’re probably going to make it through this thing. And so there is some shaking out that remains to be done. When I think about the numbers of dealers that are going to go out of business this year, it’s staggering. And we’re having to manage our way through that. What we are seeing in some of the smaller communities is the sort of rebranding of the larger multi-line dealers in the larger communities buying advertising in the smaller communities. So to go back to the Jackson/Greenville Mississippi area, they understand that in Greenville they don’t know that the Jackson dealer is trying to tell folks that if their local Ford dealer goes out of business here is where you can get sales and service. A lot of that stuff has to shake itself out. We have taken a huge hit already as I mentioned, it’s gone from 9% of our book down to 6% of our book. I don’t think that we’ve made it all the way through that process on the auto side. So we’re going to have to watch it very, very closely. But what we are seeing is that some of the inventory that they’re having to abandon for years and years was our best inventory. And so it’s freeing up some of our best inventory for some other categories of business. Net/net, I think we’re still losing some automobile customers, because I think that shakeout has yet to play all the way out. But we are replacing it at least the same rate we’re losing it. On the real estate side, I’m firmly convinced that we’ve taken that body glove. I think they are now where they’re going to stay. I think its going to stay right around 4%, 5% of our book. Most of the real estate customers that we have now are not your developer builders. They are brokers and as long as people are moving real estate they are going to use it. So I feel good about where the real estate book of business is. I hope I answered your question.
Benjamin Swinburne – Morgan Stanley: Very helpful. Thanks guys
Operator: Thank you. Our next question will come from Marci Ryvicker, Wachovia/Wells Fargo
Marci Ryvicker – Wachovia/Wells Fargo: Thanks. I have a couple of questions on the expense side. I just want to be clear with what’s going on in ‘09. Keith you had mentioned the down 5% to down 7% again for ’09, but Sean you said that the down 12%, 12.5% in Q1 was a good run rate. The first thing I just want to make sure that we got it that we should be doing down 12, 12.5 for the rest of the year. The second question on expenses is you were down double what we were expecting. Is the cost cutting coming from leases? Is it materials? Is it people? Where is the majority of the cost cuts coming from? And then lastly on expenses, Kevin you mentioned a revenue acceleration, which should be greater than in previous recoveries. How should we think of expenses going into recovery?
Kevin Reilly: Let me hit the expenses real quick. As we recover, we do have some variable expenses. Sales commissions, percentage pay leases. Presumably we will reinstate our 401(k) match as I mentioned. So as the world gets better, there are some of the draconian things that we’ve done that will either automatically reverse themselves or we will make a conscious decision to go back to sort of standard business practice. But that being said, I think we have permanently recalibrated our fixed expense base and we’ve learned a lot going through this process. We’ve learned to do a lot more with a lot less. Some of it on the labor side in particular was built into our transition from paper and glue to the polyethylene substrait on our posters. And then some of it was just learning to do more with less. In terms of where it came from, it’s across the board. We actually ended up with more layoffs than we previously thought we were going to accomplish. I think we’re up to about 370, we’re up to 400 on the head count reduction. And that’s on a base of 3,500. So this has not come without its cost on the people side. As I mentioned, the lease reduction program has exceeded our expectations and as I reflect on it I want people to know this is not just a financial exercise. We’ve talked about it in the field, we’ve talked about what it has meant to our operations. And it will end up making us stronger operationally because there was and continues to be excess capacity out there on the static bulletin side. And then you’re getting down to talking about nickels and dimes. You are really talking about watching every penny, and Keith just handed me a schedule that lays it all out. I don’t want to bore you with it. But its across the board and it is sustainable.
Marci Ryvicker – Wachovia/Wells Fargo: Okay. So the negative 12 is sustainable?
Keith Istre: No we’re not going to hang ourselves on negative 12 for the whole year, but we certainly think that we’ll surprise -- the management has been very meticulous and we didn’t think the little things counted. But they do count and we think that for the rest of this year that we’re going to exceed expectations on the expense side because we tackled a lot of the big things already and that’s all that’s going to be whatever we do in those areas is going to be gravy, but it’s the little things that have been a real pleasant surprise. And I think it’s a real tribute to all of the 190 or so profit centers.
Sean Reilly: And Marci, when I think about sustainability I’m on the operations side I’m not thinking about just ‘09 and the modeling and the financial exercise. The question I have to ask our team is, can we operate our business to the expectations of our customers and our own expectations for delivering an excellent product at our head count level, as it exists today. And with a couple of exceptions, the answer that I’m getting back is yes, and that is good news when you think about what our margins can look like in 2011.
Marci Ryvicker – Wachovia/Wells Fargo: Is it fair to say going forward that the 4% to 6% expense growth that you had talked about in the previous years, we’re not going to see that type of expense growth again?
Sean Reilly: Well we have a new base, let’s put it that way.
Kevin Reilly: We don’t want to know what the future holds.
Sean Reilly: We don’t know what inflation is going to be in 2011.
Kevin Reilly: The mantra today is you’ve got aggressive goals that you’ve set for yourself. Don’t damage the franchise to get there.
Marci Ryvicker – Wachovia/Wells Fargo: Okay. Thank you very much.
Operator: Thank you. Our next question will come from Mark Wienkes, Goldman Sachs.
Mark Wienkes – Goldman Sachs: Great. Thank you. Just one quick follow up on the cost cuts. About how much of the lease portfolio is percentage pay leases and then is there any variability to all the non-percentage pay leases? Like are you able to go to the lessors and negotiate lower near term payments that you make up later?
Kevin Reilly: I’ll let you handle the percent Sean. I’ll just do the non-percent. We are having good conversations with our landlords for a couple of reasons. One is we have been a reliable payer for 20 some odd years. So when we go to have these visits, at least they will open the door and let us talk. The second thing is we keep meticulous records and so we have the revenue by board, by month, by customer. The productivity of the individual unit that we share with a landlord. And so we have actually been successful in some leases where we have a long-term fixed payment lease but we’ve shared our revenue situation and told them that this situation is no longer viable for us and we need some relief. We’ve also been successful in exercise -- we have 60,000 leases on paper. And they are not all on the standard form, but we do have quite a few leases where we have the right to revert to 5% of net revenue in order to keep the lease intact if we deem that the lease is no longer productive. So in several cases we’ve exercised that right. In some cases we’ve haven’t been able to reach an agreement and we’ve had to take the board down. So it’s all over the map, these are individual negotiations and it looks like given the tenor of the environment for the next quarter or so, that we will continue to see some expense reductions in our lease portfolio.
Sean Reilly: On the issue of percentage pay, these are round numbers, but on a lease portfolio that runs about $200 million in costs annually, our percentage pay leases run about $15 million. So you’re only talking about 7, 8%. Our percentage pay. In that regard, we look a little different from Clear Channel and CBS. Your percentage pay leases tend to be in larger markets with larger more sophisticated landowners. So our footprint and profile in that regard is a little bit different.
Mark Wienkes – Goldman Sachs: Right. I guess as you go back to the lessors and have a conversations with them, it seems like that right to revert to 5% of net revenues is a nifty little option. Are you working that into the contracts as you go forward?
Sean Reilly: No, we try every single one of these negotiations is one-off.
Mark Wienkes – Goldman Sachs: Right.
Sean Reilly: They all look different but obviously we’ve learned a lot and we’re trying to get the best terms we can for our company when we have these discussions.
Mark Wienkes – Goldman Sachs: Right. And then just one follow up on the revenue side. With respect to the competitive dynamics in the larger markets now that you have the list of assets I guess you said billboard pricing is weaker. Is the pressure there from others that have the bulletin product being like offering shorter terms or like what’s the nature of the pressure?
Kevin Reilly: Let me I’ll just speak generally to that. In general it’s pretty fierce -- the competition in the larger markets. And some markets with some products were doing better with others than others. So for example our posters in New York City are doing extremely well. We retrofitted that product to go from paper to polyethylene and we also changed out all the trim. I don’t know for those of you in New York who drive around and look at them I hope you like the look. We’re doing very well with that product. Large format bulletins in New York City are very tough right now. And so it’s a competitive and pricing dynamic in the larger markets. Sort of anecdotally we have had some nice wins in the last quite literally two or three weeks. For example, we just signed a contract for $1.25 million with a beverage company for the largest painted wall in New York City. Great contract, 12 months 105,000 - $107,000 a month. Really nice contract. So we’re seeing some things happen but it is tougher and more competitive and pricing is a little more difficult in those larger markets like Atlanta Chicago L.A.
Mark Wienkes – Goldman Sachs: It’s also -- it’s in market and cross market so the guy with the most drops his doorsthe farthest. It’s an analogy. Thank you.
Operator: Our next question will come from James Marsh, Piper Jaffray
James Marsh – Piper Jaffray: Now hi guys. Two quick questions. One I was hoping you could elaborate a little bit on the digital displays and what categories are doing better or worse on a relative basis within that digital category? And then secondly talk about all the potential capacity coming down. What percentage of total board are we talking about here? It sounds like it’s still relatively small. If you can just quantify that as best you can?
Sean Reilly: Yeah. To answer your question it is a relatively smaller number of units. It tends to be our C&D locations. Nobody is going to miss them, I mean these are truly non-performing units. So, again the charge is not to damage the franchise. I’m absolutely convinced we’re enhancing the franchise with the takedown of some of these C&D locations. On the digital front, financial is a surprisingly good category. What your smaller and community banks are doing is they are trying to lure deposits. So we’re getting a lot of small community banks advertising their CD rate and they’re changing it daily. This is the perfect vehicle for them to accomplish that goal digitally. Insurance is a nice and pleasant surprise. We’ve got, in particular State Farm is up with a discount and they put their local agent up there with the discounts they are offering at the moment. And they are using it I think very effectively. We’re getting a little bit more out of the fast food category and that’s they are using us actually all across our platform in new and creative and better ways. And I think when we write the story on 2009, you will see the fast food was up in our book of business not just relative but also in absolute dollars spent. And finally as Kevin mentioned, we are getting real estate classified like ads up there where it’s the broker picture of the house and price point and if things go well the sold banner goes across the whole board, clearly coming straight out of the newspaper. But those are the categories that are using digital and as I mentioned, in aggregate dollars we’re up year-over-year both nationally and locally on the digital platform.
James Marsh – Piper Jaffray: Okay. Great thanks very much.
Operator: Thank you. And our last question will come from James Dix, Wedbush.
James Dix – Wedbush: Thanks. Good morning guys. First if you could just walk through in the first quarter the breakdown on that 15% decline pro forma, how much was from digital and then how much came from posters and bulletins because when I was just penciling out the declines in rates that you talked about, Sean, with the declines in occupancy it looked like maybe you were getting around 10% decline for bulletins and posters and then you had a 15% overall, but those numbers may be off. So, ifyou could walk me through that that would be great. And then second on the just on the rental expense how much was it down year-over-year? And would that be a good assumption for the full year that it will be down around the same amount as what you got in the first quarter? And the final one I guess it would be for you Kevin. I guess last year seemed a little surprising, the bulletins slowed down before the posters do you think when were on the way back out when the economy improves do you think that bulletins will be the first to show the signs of improvement?
Kevin Reilly: Looking at the first quarter, as we track same store and Keith correct me if I’m wrong here but our same store digital was actually up. Because we don’t report that on a same board basis, it’s integrated into whatever the local market reports. If I’m being clear on that. So your declines on the 15 were primarily coming out of static bulletins and static posters. Now what I’m seeing in the book is posters on a relative basis are stronger. It really is the static bulletin inventory that is struggling the most. And that is counterintuitive to our historical experience and there were some data points back in the fourth quarter of ’07, and as we progressed through 2008 that were a little bit confusing to us because our book wasn’t reacting the normal way. It reacts when we go into the downturn i.e. normally national falls first and hardest, it didn’t last year. It held up better and fell in the fourth quarter. And normally bulletins would hold up better and it would be posters where we would feel it and again that wasn’t the pattern that presented itself last year. It's a little bit befuddling to us, but we are managing to it. I have some theories about supply and demand, and perhaps some over building in the static bulletin market that happened latter part of the 90s and early part of the 2000s that perhaps contributed to that. But I don’t have a clear answer for you.
Sean Reilly: As far as coming out, our bulletin business one-third is highly directional. No problem there. Two-thirds of our business is in the D&A where we compete head up against everybody else and really how we manage that two-thirds is going to dictate how we come out. And we certainly want to help our customers that are struggling, but we just don’t want to lock ourselves into long-term relationships that retard our ability to capitalize on demand. So we’re watching that two-thirds of our bulletin business and hope that we can accommodate our customers on a short-term basis. But not lock ourselves in long. I think the reason why bulletins declined first is because posters is the shortest sell and we were taking business from the newspaper and so the secular changes in our industry were masking the downturn in our short cycle business.
James Dix – Wedbush: Okay. And then I guess just one follow up on the bulletin. Sean you’re saying the stats you gave on rates down 5% that’s only for static right? And the occupancy that’s only for static. So the occupancy fell by around 6 points on the bulletins; is that correct?
Sean Reilly: I’m sorry. I should have told you that. Those rate and occupancy stats I gave you exclude digital. So that’s static only for both products posters and bulletins.
James Dix – Wedbush: Okay. So for instance on the bulletins then would the pro forma decline have been around 11.5 from the rate and 6 from occupancy or am I thinking about that wrong?
Sean Reilly : Is there a direct correlation on that? Did you understand that question?
Keith Istre: You’re saying that the digital?
James Dix – Wedbush: No. I’m just looking at static and the stats you gave on those. So the rates for the bulletins were down around 5% and then occupancy was down around 6 points right?
Sean Reilly: Does that equate?
James Dix – Wedbush: Yes, does that mean that they were down roughly 11% pro forma? Just the bulletins, the static ones?
Keith Istre : We’re going to have to see if there’s a direct correlation if you just add those two together and that’s your answer.
Sean Reilly: You can’t add them together.
James Dix – Wedbush: I don’t think you can.
Sean Reilly: You drop the rate in occupancy and it’s going to come to 17, 18% down in bulletins and in posters, I don’t have any of the stat sheets.
Keith Istre: Yeah that sounds a little better than that. But that’s a good question. I think we can do some pencil work around here and try to get a little better analytics for you guys.
James Dix – Wedbush: Okay.
Keith Istre: I understand the question but we have to work through some pencil.
James Dix – Wedbush: Okay got it. And just on the rental expense or lease expense do you have those?
Keith Istre: Yes we do. I don’t want you to take this as run rate, because we take them down at different points during the quarter right?
James Dix – Wedbush: Sure.
Keith Istre: But it was $4.2 million in savings for the first quarter. Off of pro forma actual.
James Dix – Wedbush: Okay. And do you have a percent on that? On the $200 million annual lease expense and $4.2 million was just the first quarter amount? Okay.
Keith Istre: Historically when times are normal and we can look across the years in a more rational way, our lease portfolio tends to grow with inflation. It just tends to grow that sort of 3 to 5%. This is off pro forma actual, so you can see the work that’s been done.
James Dix – Wedbush: Okay. Great. Thanks very much.
Operator: Thank you. At this time we have no further questions. So Kevin I’ll turn the call back over to you.
Kevin Reilly: Thank you. And I want to thank everybody for listening in and we look forward to the Q2 call. Thank you very much.
Operator: Thank you ladies and gentlemen. This call has now ended. You may disconnect at this time and have a great rest of the week.